Operator: Good morning, ladies and gentlemen, and welcome to the B3 earnings results presentation for the first quarter of 2025, where Andre Milanez, B3’s CFO, will discuss the results along Fernando Campos, Investor Relations Associate Director. [Operator Instructions] As a reminder, this conference is being broadcast live via webcast. The replay will be available after the event is concluded.
Fernando Campos: Hello. I’m Fernando Campos from B3’s Investor Relations team, and welcome to another earnings event where Andre Milanez, B3’s CFO, and I will analyze the results of the first quarter of 2025. Andre will start by providing an overview of the quarter.
Andre Milanez: Thanks, Fernando. Well, we had another positive quarter with an 8% increase in gross revenues when comparing to the first quarter of last year. This is a result of our business model that allows the company to grow in different scenarios. In this context, it is worth highlighting the performances of the derivatives and fixed income segments, which benefit from higher interest rates and the high volatility that we had during the first quarter of the year, which more than offset the still challenging environment for equities. Our net income reached BRL1.1 billion in the quarter, and our earnings per share were BRL0.21 per share, which represented an increase of 25% when compared to the first Q of ‘24, which reflects also the more intense activity that the company has been having on its buyback programs. Fernando will now talk a little bit more about the operational performance that explains this dynamic that we just – I just commented on revenues. Just remembering that this was the first quarter with a new revenue segmentation, which, in our view, better represents the current stage of the company and its growth strategy. Fernando?
Fernando Campos: Thanks, Andre. Speaking of market segment, in derivatives, the ADV, average daily volume totaled 8.9 million contracts, a decline of 9% compared to the first quarter of 2024 with lower activity in interest rates and indexes market. On the other hand, our RPC or revenue per contract, grew by 29%, mainly driven by the devaluation of the real against the USD, which impacts FX and interest rates in USD contracts. Great concentration of long-term contracts in interest rates in BRLand the inclusion of Bitcoin Futures on our portfolio. Speaking of Bitcoin Futures, it contributed with BRL47 million in revenues. It is also worth highlighting the good performance of OTC derivatives, with significant growth both in issuances and outstanding balance. Revenue from derivatives totaled BRL881 million, a growth of 10% compared to the first quarter of 2024. In fixed income, we had another very solid performance and double-digit growth in our operational metrics compared to the first quarter of ‘24, reflecting the booming private credit market in Brazil and the surge for interest-linked assets in the current scenario. As an example, the number of investing in TreasuryDirect grew by 18% compared to the first quarter of ‘24. Thus, revenue in the fixed income line grew by 22% and totaled BRL350 million. In equities, we had a similar performance to the previous quarters, with the ADTV totaling BRL23.8 billion with a turnover of 141%. The positive highlight for another quarter are the performances of BDRs, ETFs and listed funds, which together represented 14% of the ADTV. Regarding the trading fees, we had a performance like the one in 4Q ‘24, with a trading mix that reflected in lower fees, following a higher volume of exercise of index options and market makers and liquidity providers. Revenue from equities represented 19% of the total revenue for the quarter. Regarding other segments in capital market solutions, the devaluation of the real also had a positive impact on market data on data analytics solutions. In vehicles and real estate, we had a positive scenario, but the comparison was impacted by the revenue from [ Desinghala ] in the first Q, ‘24. In platforms and analytics, we saw – we had a good performance, mainly in credit and the insurance vertical. In this segment of technology and platforms, we had the growth of the fund industry reflected positively in the utilization, which impacts the technology line and market support services, mainly with the registration of fund quotas. Now Andre will talk a little about the financial performance and strategic advances of between the quarter. Andre?
Andre Milanez: Thanks, Fernando. Well, in expenses, we had a quarter in line with our planning, with the growth above inflation when compared to the first Q of ‘24. Main reason for that was the impact that we had on data processing expenses, which reflects the optimization of the company’s project management for 2025, in which we are seeking to better schedule and thus, reduce potential volatilities between quarters. As a result of that performance in terms of revenues and expenses, our recurring EBITDA totaled BRL1.7 billion in the quarter, a growth of 6% with a recurring EBITDA margin of 69.5%. In terms of our financial results, we had a quarter where we saw financial expenses impacted by a higher leverage level as a result of the debenture that was issued at the end of last year, but also 2 nonrecurring items which were the fair value adjustment of some investments that we made through our offshore vehicles and the renewal of the portfolio of government bonds used for contribution of some companies within the group as well. The 2 effects combined were close to BRL25 million in the quarter, a impact that we do not expect to see in other quarters, as I already mentioned before. In relation to the return to our shareholders, we had a total return of approximately BRL790 million in the quarter, with BRL460 million deployed in buybacks and BRL330 million in interest on capital distributions. Additionally, it’s worth highlighting that we canceled around 160 million shares in March ‘25, which represents about 3% of the company’s share capital, demonstrating that we have been much more active in the execution of our buyback program recently. Regarding our agenda of new products, I would like to highlight some very interesting developments. We had several products launched during the quarter, the launch of the weekly Ibovespa options, the reduction in the size of monthly Ibovespa options as well and the launch of the venture indices, ultra-quality DI and IPCA. In addition to those products that were launched, we recently received approval from the regulator for the following products that we have mentioned before. So we received approval for the futures on Ethereum, on Solana, on the Ibovespa B3 BR+ index and options on the Ibovespa B3 BR+ index as well. And besides all of those approvals, we also got an approval to reduce the size of the Bitcoin Future products, all of those with very interesting potential of increased volume or new revenues, especially for when you’re looking at the individual investor. And finally, it is worth reminding you that in March, we had an extraordinary general meeting that approved the merger of Neoway and Neurotech into B3. This was a move that besides optimizing and simplifying the company’s structure, will also allow us the utilization of the tax benefit close to BRL800 million that was generated by – that will be generated by the goodwill and intangible assets that were recognized on these acquisitions. These mergers will have take effect as from the first of April this year. Well, those were the main highlights for the quarter. Thank you very much.
Operator: Thank you. [Operator Instructions] Our first question comes from Arnon Shirazi with Citi.
Arnon Shirazi: My question related to equity margins. We had another quarter of lower margin compared to 1 year ago. I believe this movement started last quarter when we saw some lower margin in general. I know that you started to publish the colocation percentages. But what really changed in practice to see this lower EBIT margin, should we expect a downward trend here? Or is something more [indiscernible] that happened this quarter and the last quarter? Just to get it better. Thank you, all.
Fernando Campos: Fernando speaking. So I think it was a dynamic that was really similar to the one that we had in the fourth quarter of last year. We did have, especially in January, a really large volume of Ibovespa options exercise. And we do – we did also have more market makers participating in the trading activity during the quarter. So it’s hard to predict what’s going to happen in the next quarters, given that this is a mix that was driven by market movements on market volatility, more than any actions that the company actually took to reduce or to change prices. I don’t know if Andre wants to complement?
Andre Milanez: No, I think that’s it. I think it is difficult to say whether this is a trend now. It is a function of the mix that we have seen during the quarter. We have tried to give more visibility in terms of the data that we have been disclosing for you to try to anticipate some of those impacts. So I think we’ve started to disclose the level of exercise options in our databases as well. So nothing that was driven by, as Fernando mentioned, changes introduced by the company, but more a reflection of how the mix has been evolving in the last few quarters.
Arnon Shirazi: Okay. Got it.
Operator: Our next question comes from Maria Guedes with Safra.
Maria Guedes: I wanted to talk also about ADTV. But – and also about the mix, but looking from a different perspective. I know that the trend for the equities, ADTV is tougher to predict and that it relies on market activity. But you also have some lines that are growing at a faster pace like ETFs, BDRs and listed funds. And I think that you are giving more highlight to that. And these are gaining relevance within the overall mix. So if I’m not mistaken, it’s already representing close to 15% of overall ADTV. So I wanted to understand the potential that the company is seeing for these lines as they ramp up. I know this is a reflection of improved liquidity for these products. And I know this is not a simple question, but maybe if you are targeting some other benchmarks in terms of markets that you see a similar potential?
Andre Milanez: Thank you for your question, Maria. And I think you’re absolutely right. I think these products have been gaining more relevance and have been growing. If you recall, a few years ago, these 3 classes combined, they were less than 4% of the total volume. And as you said, they are now getting closer to 15%. In some months, they have been already above that mark. And I think the potential is very important here. I think if you look at our ETF industry and compare that to the ETF industry in other markets, I think you can say that we are in the very beginning of that industry here. So we see still a lot of potential for further growth in those asset classes, but perhaps ETF, the more relevant one. But for BDRs and real estate investment funds, there is also still a lot of potential for further growth.
Maria Guedes: Perfect. And congrats on the new disclosures. It’s very helpful.
Andre Milanez: Thank you, Maria.
Operator: Our next question comes from Lindsey Shema with Goldman Sachs.
Lindsey Shema: I have two quick questions. The first one is you’ve received a lot of approvals for new products that you’ve been kind of previewing so far. Could you go and provide some color on how we should see new initiatives impacting revenues throughout the year, maybe 2 or 3 new products that you expect to be most impactful or anything along that line? Do you have anything else in the pipeline? And then the other one is just confirming if any competitors have taken any steps to link to your systems yet, or if you still haven’t heard anything?
Andre Milanez: Thank you, Lindsey. I’ll start with the last one and quickly go through the first one as well, and I think Fernando can jump in here as well. In relation to competition, I think as I said during my last call, we’ve started discussions, we already had some discussions with the initiative for a new equities exchange in terms of accessing our suppository, etcetera, but that’s in the early stages, so no significant developments here. In relation to the pipeline of new products, as we’ve – we have been anticipating last year during our Investor Day and during our call, we will be much more active and aggressive in the pipeline of new products. It is really difficult to predict how good this product will perform. If you recall, I mean, Bitcoin Futures was one example. Of course, we were very excited with the potential of the product, but we were somehow surprised by the results in the short term of that product. So it is difficult. Sometimes, some products they take a while to get traction. In other instances, that traction comes faster. We do believe that we have now tools to try to accelerate or increase the chances of those products gaining more traction more quickly. Incentives are one of them, not the only one, but having market makers and a lot of other stuff that we launched together with these products can increase the chances of them becoming successful. And as we said, we will be much more active in this environment of new products with also a focus here on products aimed at the retail investor in Brazil.
Operator: Thank you. Our next question comes from Pedro Leduc with Itau.
Pedro Leduc: Thank you, guys, for the call. First, on the revenue-linked expenses now with these products getting traction, the ones you launched over the recent past, if we should maybe see less of an expense linked to them as they gain natural life or maybe you’re going to use that cushion maybe to reinvest in those that you have in the pipeline for the up and coming? So just trying to get a little bit of help on how to model this line a little bit better? And then the second part of the question, a little bit longer term, you are hovering around the 70% EBITDA margin levels. You have seen that in higher volume days in the past, margins get much higher than this. But a lot has changed within the company, within – since then. So, trying to pick your brains, where do you think is a potential for the long-term EBITDA margin, assuming if turnover goes up a little bit, volumes pick up at the end of the day, if we could see this closer to the mid-70s, 80s at one point? Thank you.
Andre Milanez: Thank you, Pedro. Look, in relation to your question about margins, I mean that’s the – margins are a result of the business model that we have that has a lot of operational leverage. So, it is natural that you see that when volumes are increasing, accelerating, margins tend to expand. We don’t manage the business looking at EBITDA margins. So, I think you could see margins increasing in an environment where we start to see volumes coming back more strongly again. And I think in our view, this will become a discussion when we start to see that either some of our pricing is preventing customers from doing more business. So, that becomes somehow a bottleneck for customers to increase business, and this is something that we cannot allow. And in these cases, we will address as we have already done in the past. And I think if we reached another level that is structurally higher than the current one, I think it is also reasonable for you to expect that we might need to, and we will probably do that, share more of our operational leverage with customers in a smart way, of course. But I think it is natural to expect that happening, but that has to be somehow structural, right. So, I mean if it by any chance, our margins are higher than average in a single quarter, that does not necessarily mean that we have something to do about that. But if they increase and stay there for a while, this is potentially a time where some measures will be taken by the company. I don’t know if Fernando wants to talk about the first one, please?
Fernando Campos: Hi Pedro, regarding revenue-linked expenses for the year, I think we provide a guidance for the line, and we should be within the guidance given that the agreement that we have with brokers regarding the incentives on the Bitcoin Future, which is the main – the main factor on this line is to – is valid until April next year. So, for the year, it’s – I think it’s hard to remove the incentives, given that we have this agreement. That’s how we should be within the guidance on this line. I think we won’t have any kind of surprises there.
Pedro Leduc: Thank you, guys.
Andre Milanez: Thanks.
Operator: Our next question comes from Antonio Ruette with Bank of America.
Antonio Ruette: Hi Guys. Thank you here for the room to make questions. I have two on my side. So, first, a quick one on the fixed income electronic trading platform, so if you have any updates on this, volumes or pipeline? And the second one, a broader one, what have you guys worked on to make your product more attractive in the sense of potential new listings? And you guys have mentioned in the past that the real threat right now, the real competition that you have are foreign listings, and that could take volumes abroad. And well, if everything goes well, we could be talking about an easing cycle in 2026 and potential new IPOs. So, my question is, what have you guys done over the past 2 years or 3 years to prevent that this potential new listings are done abroad instead of B3? Thank you.
Fernando Campos: Hi Antonio. Good morning. So, Fernando here, I will start with the fixed income platform. So, the fixed income platform has already been launched. We are in the phase of trying to get market participants to actually join the platform. So, it’s an initiative with – there has a lot of different moving factors here, a lot of things, it’s a huge project. It’s one of the major strategic projects for the company for this year and next year. We shouldn’t expect any significant revenue from this – obviously, from the secondary market, even government bonds or corporate bonds. We shouldn’t expect any kind of significant revenue this year. It’s something more towards next year. But the project is on the – it’s everything on the tech part, on the infrastructure part is everything going as planned. So, we are in a phase where probably, the more challenging phase where it’s trying to make the market to adopt the platform and to use it, obviously complementing what the brokers already provide, so no big news here, other than the project is going as planned.
Andre Milanez: Yes. And regarding your question, Antonio, about the listing, the IPOs, I think since we started to see some companies listing abroad a few years ago, we have been working in – everything that was our reach in order to try to address that. So, there were things such as – one of the arguments at that time that were being used to justify listing outside Brazil were the fact that in the U.S., you could adopt super voting rights structures. We have worked with market participants and with regulators to introduce changes into the Brazilian corporate law to allow something very similar to what you can find in the U.S. We have worked with regulators to say, look, if a company decides to list abroad, we want to be able to at least capture some of that volume through BDR. So, BDRs became available to retail investors and available in certain cases where they were not in the past. So, we have worked on several things besides that. We have also worked a lot with potential new companies trying to show them the – let’s say, the truths and myths about listing abroad and showing that potentially a listing abroad might be an interesting alternative for some companies, depending on the size of that company, on how international that company is. But that’s not going to be true for the vast majority of the companies. And I think people now understand that better, so much that we have started to see in the opposite. And you probably saw that that last year or the year before, I am not 100% sure now, we have seen companies delisting in the U.S. and listing back here in Brazil. We have been very close to all of the companies. There are potential candidates for IPOs when a new window of opportunity presents itself. And I can say that the vast majority of those are considering listing in Brazil and not outside Brazil.
Antonio Ruette: Alright. Thank you.
Operator: Our next question comes from Kaio Prato with UBS.
Kaio Prato: Hi Andre, Fernando. Good morning. Thanks for the opportunity to ask question here. I have two on my side, if I may, please. First, you just announced the launch of new group two contracts, Ethereum and Solana, and also announced the reduction on the size of Bitcoin Futures, which has been a product quite successful, right, since the launch. So, just wondering if these announcements can be as material as the revenues from Bitcoin that we are seeing today because of two new products and also more attractive Bitcoin products, or if you can share a little bit what can be the magnitude on impact on revenues coming from these new ones? And second, quickly, looking to the first quarter and the first months of the second quarter that we have some numbers here, looking to the equities in ADTV. For instance, April volumes were quite better as well and potentially slightly better than expected in the first Q. So, I know that’s difficult to estimate going forward, right? But would you say that year-to-date, volumes have been better than expected, according to your projections or did so far? Thank you.
Andre Milanez: Thank you, Kaio. You, like always making some very easy questions to answer, right. So, regarding your first one about the crypto products, I mean I don’t know whether these are going to be as successful as the Bitcoin Future was. Of course, I am hoping that they will be. We definitely saw demand for that, and that’s the reason why we are launching that product. We are trying to follow the same, let’s say, a formula that we have applied to the Bitcoin Future to increase the chances of those products being successful as well. But it’s really difficult to give you any expectation of revenues at this stage, but we are hoping this can be also an important. As I said, definitely, there is demand for that product. Regarding the other question about ADTV, look, I mean I think the market is so sensitive these days that any inflows are making a big difference. And I think that’s what we have been seeing in April in some of the days now in May as well, whether this is something that is structurally changing, difficult to tell at this stage. But I definitely see more upside risk at this stage than downside risks in relation to volume. So, I think we have seen volumes stabilizing for several quarters around the BRL24 billion, BRL25 billion mark. So, I think we – I see more upside risk than downside risk at these levels based on what we have been seeing in recent behaviors of volumes and performance.
Kaio Prato: Okay. It’s great. Thank you very much.
Operator: Our next question comes from Fernandes Savio with JPMorgan.
Fernandes Savio: Hi Andre. Hi Fernando. Thank you for the room to ask questions. My question is on expenses. So, we see expenses tracking 7% below the midpoint of guidance, and I know there is seasonality here. So, I just wanted to get your thoughts on how you see it evolving throughout the year, if it should be more back loaded or if you see the possibility to stay on the lower end of the guidance? Thank you.
Andre Milanez: Thank you for your question, Fernandes. We are working at this stage to deliver our guidance. It hasn’t been an easy task because since we have disclosed our guidance, some of our – some of, I would say, things that impact significantly our costs have deteriorated a lot, so inflation was one of them. So, we are working now with an inflation expectation which will translate into adjustments to our salary base much higher than what we were expecting at the beginning when we disclosed our guidance when we discussed our budget last year, when we have been managing to deal with that. So, I think it is early to say whether we will be able to arrive at the lower end of our guidance. I can tell you at this stage that we are on track to deliver the guidance. And we have been trying also to, let’s say, to better manage expense spending, let’s put it this way, throughout the quarter. So, we should expect less volatility between quarters when compared to prior periods. So, we have been trying to better manage the spending throughout the year.
Fernandes Savio: Thank you. Perfect.
Operator: This concludes today’s question-and-answer session. I would like to invite Andre Milanez to proceed with his closing statements.
Andre Milanez: Well, thank you very much for joining our earnings results call. Thank you very much for your support. To all the B3 teams that have been involved in this earnings release, my thanks as well for all the hard work. We hope to keep you satisfied and delivering strong results throughout the year. Have a nice Friday and a good weekend ahead of us. Thank you very much.
Operator: That does conclude B3’s presentation for today. Thank you very much for your participation and have a nice day.